Operator: Good morning, and welcome to today's TechTarget Reports Second Quarter 2022 Conference Call and Webcast. My name is Candice, and I will be your moderator for today's call. [Operator Instructions] I would now like to pass the conference over to our host, Charlie Rennick, General Counsel. Please go ahead.
Charlie Rennick: Thank you, Candice; and good morning. Joining me here today are Greg Strakosch, our Executive Chairman; Mike Cotoia, our CEO; and Dan Noreck, our CFO. Before turning the call over to Greg, I would like to remind everyone on the call of our earnings release process. As previously announced, in order to provide you with an update on our business in advance of the call, we posted our Shareholder Letter on the Investor Relations section of our website and furnished it on an 8-K. Following Greg's introductory remarks, the management team will be available to answer your questions. Any statements made today by TechTarget that are not factual, including during the Q&A may be considered forward-looking statements. These forward-looking statements are based on assumptions and are not guarantees of our future performance. Actual results may differ materially from our forecast and from these forward-looking statements. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors section of our filings with the SEC. These statements speak only as of the date of this call and TechTarget undertakes no obligation to revise or update any Forward-looking statements in order to reflect events that may arise after this conference call, except as required by law. Finally, we may also refer to certain financial measures not prepared in accordance with GAAP. A reconciliation of certain of these non-GAAP financial measures to the most comparable GAAP measures, to the extent available without unreasonable efforts, accompanies our Shareholder Letter. With that, I'll turn the call over to Greg.
Greg Strakosch: Thank you, Charlie. Good morning. We are pleased to report we exceeded our revenue forecast and adjusted EBITDA forecast in Q2, and achieved 43% adjusted EBITDA margin in the quarter. In addition, we are reaffirming our annual revenue and adjusted EBITDA guidance today. For Q2 2022, GAAP revenue grew 24% to approximately $78.9 million, adjusted revenue grew 19% to approximately $79.4 million. Net income was approximately $12.4 million, an increase of 142%, adjusted EBITDA grew 33% to $33.8 million, net income margin was 16%, adjusted EBITDA margin was 43%. GAAP gross margin was 74%, adjusted gross margin was 77%. Longer term revenue grew 24% to $32.8 million, representing 41% of total revenue. Cash flow from operations was $20.9 million. Free cash flow was $17.3 million. I will now open the call to questions.
Operator: [Operator Instructions] So our first question comes from Justin Patterson of KeyBanc. Your line is now open. Please go ahead.
Justin Patterson: Great. Thank you very much and good morning. I was hoping you could talk about just some of the trends you're seeing from customers so far. Obviously a very strong quarter, more recurring revenue these days, enterprise IT is different, but I'd love to hear anything about just trends you saw throughout the quarter and what you're seeing quarter-to-date. Thank you.
Mike Cotoia: Great. Justin, yes, first of all, thanks for the compliment. Proud of the team and also grateful towards our customers, who continue to modernize their sales and marketing departments with a focus on high-quality first-party purchase of intent data solutions. In terms of the trends, we've seen strong growth, as we reported in the numbers in Q2, as Greg just mentioned in the introduction, across all of our purchase intent lead data solutions. We also understand that we can't ignore the noise about the economy. We all see at the high interest rates, inflation, consumer confidence, everyone talking about whether we're in a recession or not in a recession. So I think it's pretty safe to say that a lot of customers are probably spending more time scrutinizing their budgets. We have some customers that might extend some of their sales cycles as they expand and navigate through this macro. But on the other hand, we have other customers that are very opportunistic and aggressive with incremental, and they want to take advantage of this choppiness to gain market share. So it's hard to really put a blanket statement on these set of customers are doing X or these set of customers are doing Y. I will say that over the last couple of years what we see is customers have spent a lot of money trying new tactics or new solutions out in the market. And I think as the market gets tighter, volatile, little more choppy like we're experiencing today, those investments will be highly scrutinized. Customers who really want to focus on quality and ROI and I think the TechTarget solutions should hold up pretty well based on our first-party purchase intent data, as well as our permission-based audience members. And we do talk about the trends in the Shareholder Letter. Fairly healthy IT environment, but the other three trends around modernizing sales and marketing departments of data and automation, sensitivity to privacy regulations which really bodes well for us with our permission-based members and still a long-term transition of budgets from face to face to online for better measurement scale and efficiencies, those are not as economically sensitive. And I think in the long-term those trends are going to continue to bode well. So what I'd say on that is we have a mix of what's going on in terms of customers, some being aggressive, some being really scrutinized in their budgets. We don't wish for a recession by any means, but if it's based on our quality of our data and our audience, we are better positioned than most.
Operator: Thank you. Our next question comes from the line of Aaron Kessler of Raymond James. Your line is now open. Please go ahead.
Aaron Kessler: Thank you and congrats on the quarter. First, just on the Priority Engine made for sales teams, if we can get an update there, just kind of what type of traction you're seeing with this product? Also just, obviously, lot of companies have reported kind of lower brand advertising budgets, but just a bit curious what you're seeing from the more of the brand advertising side of the business as well in this environment? Thank you.
Mike Cotoia: Sure. In terms of the Priority Engine sales use case, that was a big focus heading into 2022. And if you remember, historically, we focused on the marketing buyers, where they would use it for their ABM strategy, nurture strategy, building on their net new, building their account database and their prospect database. On the sales strategy, we've seen really good traction on that. We are - the information that marketers have, we want to make sure that it's into the sales use cases. So very focused on territory management, making sure that we have the right prospect level intelligence. So when a customer goes in there and they're using it for their marketing sales case, and then they start leveraging the reps to use Priority Engine. What we've done really well is going and engage with the reps in their - whether they're BDRs, SDRs, inside sales reps or even outside reps, to work and train them on how to use the data. And we've seen really good traction in terms of, once we show them how to use the data, which accounts in their territories should be focused on and, which of the individual prospects within those accounts they should call, because they have all the information at their hands, what they are researching, which competitors are influencing those accounts within a rep's territory and their key entry points of research. We're seeing good adoption on that. And we're going to continue with the ability for training, we're investing heavily in customer success and our sales enablement training to empower the reps to leverage within our vendors, clients' accounts to leverage the data in the optimal way. We are also very focused on and I've mentioned this before, of getting tighter bidirectional integration into Salesforce, as well as other marketing and sales technologies. So I mentioned Salesforce, we've done - we work with Marketo, Eloqua, HubSpot, but we're now really working on partnerships with integrations around sales engagement and sales enablement platforms such as sales law in outreach. So as we continue to get that data into our customers, Salesforce's workflow, we expect to see continued traction. In terms of the brand, the one advantage that we have is first-party data, where our branding or ad revenue is high quality and it's also high value and it's high price. We've seen a continued momentum on the brand side, you will see and I expect to see some of these accounts may pull back a little bit on some of the brand expense and really focus more on the data and the demand generation in the project confirmation type of data, but the brand revenues fared well and it's growing, and we've all seen the announcements in the vision of Google eliminating third-party cookies later on. So I think that brings good attention to us, and I think our customers will continue to evaluate their brand strategy. And the last thing I'd say is the branding piece of our overall revenue is a very small piece of the overall TechTarget revenue.
Greg Strakosch: Yes. I would just add in, so branding is 10% of revenue or less. The second thing I would add in is just, in the B2B, branding world is very different than the B2C branding world. It's basically opposite business model, consumer branding is basically unlimited, web inventory, the kind of low prices. In the B2B world, in the IT space, specifically, we benefit from a scarcity of inventory. There is only - there is a finite number of $1 million purchases going on at any one time. So it's in the big picture, it's low quantity, very high quality premium pricing. So we're definitely much more insulated than the consumer and then Q2 branding numbers were very healthy growth.
Operator: Thank you. Our next question comes from the line of Bhavin Shah of Deutsche Bank. Your line is now open. Please go ahead.
Unidentified Analyst: Good morning. Thanks. This is Dan on for Bhavin. I wanted to just touch quickly on the guidance as it relates to macro. I know you mentioned some kind of deal cycles elongating or maybe greater scrutiny on deal cycles. And it's good to see you though reaffirm the full-year revenue guidance. But maybe you can just help us think about kind of what's embedded in that guidance in terms of a continuation of some of those trends or additional conservatism that you built in should macro get incrementally worse throughout the rest of the year?
Mike Cotoia: Yes, good question. So, I mean, we're keeping a close eye on the overall macro. We have a lot of conversations with our customers. As I mentioned earlier, yes, there were some customers that might extend or scrutinize some of the budget spends. But on the other hand, there is still a lot of customers that are very opportunistic and finding incremental and accelerating their spend. It's like what I mentioned earlier, it's not a one size fits all right now. I think we're taking some of that into consideration and things can change quickly for the up or down. I mean over the last six months, it's been a self-fulfilling prophecy that we're going to be heading into a recession. Everyone talks about it. When everyone talks about it, everyone starts thinking about it and then they start scrutinizing everything that they are looking at. So we'll see how things turn and there could be some outside of that, but there also could be some pause and some hits and shock to that as well. So things can change quickly in this, but we provide guidance and you've seen how we've done against our guidance in the past and we feel this is the right guidance and keep reaffirming our annual guidance for the year is the right thing at this time.
Operator: Craig - Jason. Please go ahead.
Jason Kreyer: Okay. Thank you. So, two questions from me, guys. So, just any commentary on international markets. I know, we've heard that Europe's been a tougher market lately, you seem to buck that trend in the quarter. So is there any commentary there? And then the second one, can you give any like usage rates around like video or webinar? I'm just curious because, as face-to-face events come back online, Think there is a fear that people are going to use video less. So I'm wondering if you've got any metrics that can validate more usage on that platform?
Mike Cotoia: Right. Jason, on the international side, again, healthy growth in the quarter. When we talk about those secular trends, especially around privacy regs, GDPR and other European privacy laws, this really bodes well short and long term without permission-based audience members. I also think we've identified that any international markets, this whole transition from to online and data-driven is probably a little bit behind the North America market. So again, we look at long-term secular trends and what's going to benefit us and our customers in the long term. I think that bodes well for us. And you're right, on the face-to-face markets - face-to-face events, it was heavily concentrated face-to-face events pre-COVID, they dry navigate and a lot of them navigated online during COVID. We are seeing from face-to-face in the short term. But as the market gets tight, you take a look at these companies are trying to build a digital transformation to leverage data online tactics for better scale and measurability in ROI and that bodes well for us. Now, there are also some short-term headwinds. There's obviously some tighter markets, recession-based markets right now in EMEA. You also have a war going on right now. When we have these conversations in February, there is no impact, but you have a macro inflation heading into a recession definitely in EMEA. You have the war in Ukraine and you have some short-term macro headwinds. So there is a little bit of pause and hesitancy, but we're still seeing good growth across the board. And that's the color that I can give you today. And again, as I mentioned earlier, we'll take a look at this market over the next 30, 60, 90 days, but I really focus on the long-term trends and those long-term trends still bode very well for us. In terms of usage rates, we don't track and monitor video and webinar usage rates versus face-to-face events. We do think that there has been a pickup in some face-to-face events, but every study that we've seen and what we've looked at and when we talk to our end user group, as well as our customers, it's really being driven by the end users, the actual technology buyer does not have the enthusiasm as much as the vendor to go to a trade show, to spend three days out of the office, to go out there and travel and to be there. So yes, we expect that there'll be a pickup in face-to-face events. But if you look at the long-term on this and how today's buyer is a little bit different than yesterday's buyer, they're very familiar and comfortable with online leveraging data and okay with researching purchases, large purchases on their time and by leveraging the online capabilities with information and content. Yes, we still believe that that's a long-term opportunity for TechTarget in this market. So people that have good content, they are leveraging online, they are leveraging data are going to fare well.
Greg Strakosch: We've seen with the events that have been held, they've been relatively poorly attended, certainly attendance well less than pre-COVID. And this whole tiny - people wanted to do as much self-service research as possible, kind of goes against the trade show model, which is interface with vendor sale reps. And all the research we're seeing is that the buyers want to minimize that. I know he's a $1 million purchaser, so there's going to be some involvement, but they want it to be as late in the process as possible. So we don't see any bounce-back to face-to-face business event being a threat to our business. And long-term, we think they're just going to, just like they were pre-COVID, we think that business is going to continue to shrink.
Operator: Thank you. Our next question comes from the line of Joshua Reilly of Needham & Co. Please go ahead.
Joshua Reilly: Thanks, guys, for taking my questions and nice job on the quarter here. If you look at your mix of customers, it's shifted a lot more towards cloud vendors, who, as we all know, raised a lot of capital in the last five years and generally still have large net cash balances. Do you see this cushioning any potential macro weakness versus prior downturns when you had a greater exposure to large global 10 IT vendors that had more sensitivity to the strong dollar?
Mike Cotoia: Yes, Joshua, I think today's customer segmentations outweigh the competitive advantage for us right now. You take a look at today's market where it's a lot of IT is spending and investing in cloud, SaaS, utility type of solutions. Today's IT is helping drive and run businesses. So if you look at five or six or go back to 10 years ago, when there is downturns, if you were a hardware company and you're selling server, storage and networks, and it was a downturn, people would just delay the purchase, they will push it off for six months, 12 months, a year, and they would just deal with older equipment. Today's IT environment is, they're running their business, whether it's finance, sales, marketing, customer experience through these cloud types of solutions and these SaaS-based solutions. Very hard to stop up investing in that or stop not completing a project, because it would be - it will be very impactful in a negative way to the business. Right now, IT is a competitive advantage. People that invest in technology and do it for their business, organic competitive advantage, and they don't want to lose that. So I think today's customer segmentation is much better. We feel much better about that today than we did 10 years ago. I think that will continue to be in that movement.
Greg Strakosch: Yes. And besides those companies are financially very healthy. The business models is different, it's all subscription. So in the past, as Mike was saying, tech companies would see the revenue decline in a downturn, and that's just not the - we're not seeing that today. The subscription revenue is very stable. So while it may get harder to win new deals, their base of revenue is very steady. And if you - and one thing to always remember about technology companies, they are always under intense pressure to generate revenue, no matter what the environment. So if you have stable revenues with your existing subscription and you are under intense pressure to generate new revenue, we don't believe that's the formula for people to reduce investments in things like - we provide purchase intent data that makes your sales team more strategic, more intelligent, more productive, helps them win deal. So we think we're in kind of the sweet spot of services we provide really for any economic environment.
Joshua Reilly: Okay. Great. And then I have two more quick questions. One, how are you thinking about Priority Engine price increases this year, given that you had some good price increases in the last couple of years, but didn't really match the innovation you've delivered? And then second, are there revenue synergies between TechTarget and BrightTALK playing out as you expected? Thanks, guys.
Mike Cotoia: In terms of the price increases for prior against in this year, we'll evaluate that going into 2023. Our focus right now, Joshua, is to make sure that we expand on the sales use case. This year was the first year that we launched where we would charge a seat license for additional sales rep. So our reps and our product teams and our customer success teams are really focused on adoption and onboarding and making sure sales reps that are leveraging Priority Engine are getting the most value out of that. And as we continue to do that, we'll be able to sell more seat licenses, which we hadn't done before. So in terms of price increase, we'll evaluate that at the end of the year. In terms of revenue synergies, yes, so we've done a really good job, and it's not just BrightTALK and TechTarget, we have ESG, BrightTALK and TechTarget, where, we continue to introduce each of our opportunities to the other folks with across the Company. And when I look at the business today, I think there are so many entry points for us to get into an account, whether it's on web-based, video-based, text-based, data-base, demand generation, Priority Engine, branding, content enablement, strategies, our reps are really well equipped to make sure that they are aligning with their resources across the entire organization to say, okay, this customer has this pain point. Where two years ago, we might not have been able to really address that pain point in the most effective manner. So they are introduced each other into those accounts, having joint conversations, working together collaboratively and we've seen good success on that.
Operator: Okay. Thank you. Our next question comes from the line of Bryan Bergin of Cowen. Your line is now open. Please go ahead.
Zach Ajzenman: Hi. Thanks. This is Zach Ajzenman on for Brian. A couple of questions both on Priority Engine. The first one, what was the growth in the quarter and is the expectation for the year still high-teens to 20%?
Mike Cotoia: The growth in the quarter was 20%. And yes, we're still maintaining the overall expectations on the growth.
Zach Ajzenman: Got it. And then as a follow-up on Priority Engine, how should we think about the macro sensitivity here? Understand there are structural tailwinds in using more data and insights during sales and marketing process, but at the same time, do you think that some clients become more reverse amid the macro uncertainty given it's higher priced and longer term in nature?
Mike Cotoia: Yes, I think, customers that have really getting spun up and understand the value of not just intent data, but first-party purchase intent data, and not only at the account level, but at the individual prospect level. There is a high get-it factor there, because no matter what type of environment you are in, IT companies need to grow their revenue and grow their market share. And if the markets get tighter, it's going to be really hard for them to find those deals, because there are few deals that are going to land in the quarter. So having a competitive advantage or a head start to identify those opportunities or see those accounts that they should be focused and prioritize on, should bode well. Now, with that being said, I've said this over the last couple of quarters, Priority Engine is at the catalyst of all of our purchase intent, first party purchase intent data solutions. We can walk into a customer, show them all the data on Priority Engine. Let's say, they're not ready to do and integrate a long-term deal and invest in Priority Engine, it dovetails very nicely into the other offers that we have, whether it's content enablement services, activating that content into a demand generation program, looking at contextually aligned in relevant banner placements, as well as some other solutions. So it's really important to understand, I mean, we got - I get asked this question in the last couple of quarters Priority Engine growth '20, '21, '19. At the end of the day, all of our products, our first-party purchase intent driven and led, the Priority Engine really highlights the value across all of our solutions and gives us the ability to walk in with the right introduction and sell the right solution for that customer at that time.
Operator: Thank you. Our next question comes from the line of Eric Martinuzzi of Lake Street. Your line is now open. Please go ahead.
Eric Martinuzzi: Yes, I wanted to focus on the cost structure. The 77% adjusted gross margin was kind of in line with what I was expecting, but just could you remind us what are your cost of revenue and then any inflationary impacts on those costs?
Mike Cotoia: The cost of revenue is on the content producers - Dan, what else we got to handle?
DanNoreck: It's mainly - excuse me, as it relates to cost of revenues, you're mainly talking about salaries and head count. And in terms of inflationary pressures?
Mike Cotoia: Yes. In terms of inflation on our expenses, I mean, what we see right now is, I think what everybody seeing, it's on the employee side. We know it's an employee market out there, we just did our mid-year comp reviews, we try to be as aggressive as we can, we want to reward our top employees. We made some hires that we're focused on with key investment areas. Eric, in May and June that will see a full cycle the back-half, a lot of those highs are on product development, engineering, product marketing, customer success, as well as sales. We might pay a little bit more now than the market and we did two years ago, but we're making the right investments with our best employees and with the right people that we have to continue to invest in and again that's across engineering, products, customer success, sales and product marketing.
Eric Martinuzzi: So, you are experiencing wage inflation, but your retention rates are and in line with historical norms?
Mike Cotoia: Yes, I would say, retention is - probably little bit of retention pressure, but we are pleased where we are. We're seeing wage inflation, but we're also managing the business really well as you see in the 43% EBITDA margin. So I think it's - we do want the right things for the business, and investing in the business, as well as managing against the financials.
Eric Martinuzzi: Okay. And then shifting gears, you talked about gaining share, obviously the organic growth rate of the business, there is also the M&A avenue, which you guys have experience with. Are you seeing - what's the level of activity there? We have any near-term prospects of valuations come in a bit or is it still kind of longer term share gain opportunity?
Mike Cotoia: Yes. So, I would say we'll look at a couple of things, the cash on hand that we did through the convertible back in December with 0% coupon. We have a lot of conversations on the M&A side and we have consistent conversations. And when we have those conversations, we're looking at several things, do they fit into our content model, do they fit into our permission-based audience model, and are they going to help accelerate our lead in the first-party purchase intent model. So we also know that valuations are moving, so and especially in the private markets where it takes a little longer to catch up in the public markets. Everybody sees what's going on the public market, private companies, it takes a little bit longer for them to see. So we're starting to see those valuations get more check come more in line. And so those conversations will continue to happen, and also has to be the right deal for the buyer and the seller, but we are very active in those conversations. We're going to continue with the buyback, we've done this, you've known us, we've done this historically over the course of our - for a long time. And it's been very accretive for our shareholders and it's been good for the business. So we're going to continue with the buyback. And then we also know that we have some converge coming up in 2025 and 2026, yes, our goal is to make sure we'll leverage the free cash flow - strong free cash flow that we generate to pay a lot of that off when it comes due in cash versus in stock that is our goal with our cash.
Operator: Thank you. Ladies and gentlemen, thank you for joining us on the TechTarget report second quarter 2022 conference call and webcast. Have a great day ahead. You may now disconnect your lines.